Operator: Hello, ladies and gentlemen. Thank you for standing by and welcome to the PLx Pharma Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, there will be a question-and-answer session. Please be advised that today's conference call may be recorded. I would now like to hand the conference over to Janet Barth, PLX's Vice President of Investor Relations and Corporate Communications. Please go ahead.
Janet Barth: Thank you and welcome to today's conference call to discuss PLx's 2022 second quarter financial results and business update. Before we begin, let me remind you that our 2022 second quarter earnings release can be found in the Investor Relations section of our website at www.plxpharma.com and as exhibits to the Form 8-K we filed ahead of this call. This conference call may contain forward-looking statements including statements about or references to our outlook regarding the company's performance, our internal models and our long-term objectives. All such statements are subject to risks and uncertainties that could cause actual results to differ materially from what we say during the call today. Please refer to our most recent periodic SEC filings for more detail on these risks and uncertainties including the Risk Factors section in our annual report on Form 10-K. The company undertakes no obligation to update or revise any forward-looking statements. Additionally, the information we will discuss today contains certain financial measures that exclude amounts or are subject to adjustments that have the effect of excluding amounts that are included in the most directly comparable measure prepared in accordance with Generally Accepted Accounting Principles. For a reconciliation to the most comparable measures presented in accordance with GAAP, please refer to the table in our earnings press release available on our website and included as an exhibit to our Form 8-K filed today. For the benefit of those who may be listening to the replay or archived webcast this call was held and recorded on August 12, 2022. Since then PLx may have made announcements related to the topics discussed, so please refer to the company's most recent press releases and SEC filings. I will now turn the call over to Natasha Giordano PLx's President and CEO.
Natasha Giordano: Thank you Janet. Good morning, everyone, and thank you for joining our call today. In conjunction with our second quarter results this morning we communicated the following important news . We commenced a formal process to evaluate strategic alternatives to enhance stockholder value, we reported positive results from our Vazalore 81 milligram patient experience survey and we streamlined our sales and marketing plan significantly reducing our vascular care specialist team. In the context of our lower than expected sales results this quarter we've taken these important steps to protect the value of our brands and our company. Since launching Vazalore almost a year ago, we've been unwavering in our focus on driving market awareness and acceptance. During the second quarter, we intensified our focus to more strongly differentiate Vazalore and communicate the advantages from other older aspirin formulations and targeted this message to a broader audience of consumers and healthcare professionals or HCPs. I will review some of these significant initiatives in a few minutes. We have also invited back Dr. Asif Ali, a preventative cardiologist, influencer and early adopter of Vazalore to provide an update on his clinical experience with the product and his personal efforts to raise awareness about the efficacy and safety with his patients and his colleagues. But first for review of our second quarter financial performance, I will turn the call over to Rita O'Connor, our Chief Financial Officer and Head of Manufacturing and Supply Chain.
Rita O'Connor: Thank you Natasha and hello, everyone. Overall, our second quarter results reflected a number of factors, including continued drawdown of retailer inventories and continued expense management. On a sequential basis, net sales were lower due to the timing of trade reorders including the non-recurrence of product display purchases that occurred in the first quarter in support of American Heart Health Month in February. Additionally second quarter revenue included $400,000 of unfavorable adjustments, which related to higher trade allowances and incremental sales return reserves. The increased trade allowances were associated with retailer pricing programs positioned during the quarter and intended to promote sell-through of existing retail inventory. On a macro level, the second quarter was dominated by economic pressures and we like many businesses experienced a tough inflationary environment that created a shift in consumer spending, which put pressure on the rate of acceptance of our product in the marketplace and on our commercial resources. As has been widely reported in the media, the shift in consumer shopping behavior including shopping less, spending less, being more price conscious and more likely to buy store brand or generics has impacted the top-line and bottom-line results of many brands and retailers. In response many retailers have reported planned reduction in operational costs including among other things programs to decrease inventory levels built up during supply chain challenges in previous quarters. So what does this mean for us? While we continue to have broad distribution in more than 30,000 retail stores including the recent additions of Publix and Harris Peter, we anticipate adjustments in the frequency of retailer category line reviews and in-store resets. Maintaining broad retail distribution nationwide across mass, drug and grocery channels remains a strategic imperative and we will continue to work with our trade partners to demonstrate the value of Vazalore. On the positive side, retailers have told us that PLx is the only one in the category consistently communicating about the importance of aspirin as a foundational therapy for the secondary prevention of cardiovascular events. On a more micro level, the heart health aspirin category continued to be challenged during the second quarter. According to Nielsen data, the category has been in decline since October of 2021, when media reported on the draft aspirin guidelines and created confusion with both patients and healthcare professionals in the market. The category took another hit in late April following media reports of the final published guidelines. Market data for the most recent 13 weeks ended July 16th, shows a continued decline in retail consumption across all leading legacy aspirin brands within the heart health aspirin category. Moving on to cost of sales, we recorded $800,000 of expense in the second quarter, including $400,000 of incremental costs for expired packaging materials and a reserve for finished goods inventory at our warehouse that has less than 12 months' shelf life. Also, in cost of sales this quarter, were higher cost per unit for freight stemming from shipments of our product cases versus large pallets combined with fuel surcharges. Overall operating expenses were $14.2 million in Q2 a sequential decline of approximately 26% versus Q1 of $19.1 million, reflecting continued expense management and strategic reductions in spend as part of our refined sales and marketing plan that was implemented during the second quarter. As part of that plan, we maintained a base level of advertising on network and cable news programs and shifted away from some of the high-visibility TV programming we were doing in previous quarters like the, NFL and college football events. Turning to the balance sheet, our cash and cash equivalents balance as of June 30th, 2022 was $35.7 million, included approximately $1.3 million in net proceeds from stock sales activity in the quarter under ATM. Our cash burn of $16.8 million in the quarter, primarily related to those operating expenses and timing of payments made at the end of the first quarter. As we previously communicated, we have been evaluating options to bring in new sources of non-dilutive capital including business development activities. We have also explored pure financing options. However, given the biotech market dynamics and our own stock valuation, we determined it would be too costly and too dilutive to our stockholders to pursue a financing deal in the near-term. Therefore, in efforts to extend our cash runway and in response to the macro pressures we experienced during the second quarter, we have further streamlined our sales and marketing plan including significantly reducing our cardiovascular care specialist team this month. We expect to see savings from this action in our fourth quarter results. Our goal now is to ensure our cash runway into the second quarter of 2023. In light of our decision to initiate a formal process to evaluate strategic alternatives, we have committed to making the investments necessary to maintain the base business we have established for Vazalore, including its current broad retail distribution. The reality is, given the ongoing market pressures it has become clear to us that the uptake of Vazalore could be accelerated through a larger commercial organization with resources to drive a more robust commercial plan. And we believe this product is too important for patients we serve not to be given the best chance to succeed. We are proud of our efforts to-date in establishing Vazalore as a leading brand in the heart health aspirin category. We also believe it would be a very attractive asset in the hands of another company especially given its broad retail distribution, strong patent protection and the potential for significant financial and commercial synergies as a bolt-on brand. Natasha, I'll turn the call back to you.
Natasha Giordano: Thank you, Rita. Like many companies today, we're not immune to the challenging macroeconomic environment and we felt this effect on our second quarter results. These macro elements including a shift in consumer shopping behavior, put pressure, on the rate of acceptance of our product in the marketplace and on our commercial resources. We've moved quickly to further streamline our sales and marketing plan including significantly reducing our sales force. Despite these market challenges, we remain as confident as ever in Vazalore's potential to transform the standard of care of aspirin therapy for secondary prevention of cardiovascular events and to reinvent aspirin for pain relief. Our product has been well received by early adopters and findings from those adopters along with online reviews and results from our recent patient experience surveys which were reported earlier this morning in a separate release further validate its market acceptance. The Vazalore 81 milligram patient experience survey was designed to gather real-world data from patients regarding their experiences with the -- Compelling results from 150 respondents showed that with Vazalore 97% felt they are doing all they can to help support their heart health. 96% felt no issues with their stomach when taking either with or without food. 96% -- remember to take Vazalore every day. 98% said Vazalore is easy to swallow. 95% were satisfied with Vazalore as their aspirin therapy of choice. And 90% intend --. These impressive real-world results gathered from patients who have taken VAZALORE 81 milligrams confirm the importance consumers place on having peace of mind in managing their -- as well as their overall tolerability and satisfaction when taking aspirin. These results are indicative of the potential uptake of the brand and its importance to millions of patients -- At this time, I'd like to reintroduce our guest, Dr. Asif Ali, a preventative cardiologist, clinical associate professor of cardiovascular medicine at the University of Texas Health Center in Houston. Dr. Ali has some insights from his own real-world -- with VAZALORE as well as feedback from physician colleagues many of them heads -- departments in top institutions from his conversations around efficacy and safety of aspirin. Welcome back Dr. Ali. Thank you for joining us. 
Asif Ali: Thank you, Natasha and good morning, everyone. I'm happy to be here again to talk about my clinical experience with VAZALORE, which I call aspirin 2.0 and my efforts to raise awareness and education among other healthcare providers colleagues regarding aspirin's efficacy and safety because at the end of the day that's what we're talking about. We know that aspirin remains the cornerstone therapy for secondary prevention of cardiovascular events and that includes heart attacks and strokes. But for these patients every dose counts, and I can't emphasize that more. What has found to be less well understood by physicians who have talked about this is that the formulation of aspirin â the formulation of the aspirin absolutely matters in achieving complete platelet inhibition for optimized prevention. So over the past several months since I've been on talking with VAZALORE and utilizing it in my own practice, I've also engaged with several dozen physician colleagues, many of them chairmans of institutions around the Texas Medical Center about the safety and efficacy of aspirin. And this is sort of how the conversation goes: that VAZALORE has undergone the rigors of an FDA-approved process. And I think that's very important because the medications that we write for patients with strokes and heart attacks all have FDA approvals. And so the question is why not the aspirin as well? So number two is commonly used enteric-coated aspirin formulations per the FDA professional labeling labels it as erratic absorption. And that's very important, obviously absorption and with conversations with my colleagues. And when obviously you have reduced absorption, you can have reduced thromboxane inhibition and potentially reduced efficacy. So if you're not absorbing then there's concerns about efficacy. And bottom line we have another option. We have an FDA-approved liquid-filled capsule known as VAZALORE. Has shown reliable absorption, especially designed to help protect the stomach as well. And we have already seen this in published PK/PD data of VAZALORE 325 milligrams versus enteric-coated aspirin 325 milligrams, especially in obese diabetics, showing 99% thromboxane-2 inhibition significantly faster in VAZALORE than enteric-coated aspirin over a three-day period. So the feedback I have been getting per these bullet points and these conversations have been very, very positive within my colleagues. And my colleagues are saying "Well, one I did not know â I didn't know these facts. Number two, I want to learn a little bit more about VAZALORE. The process and the safety and efficacy are obviously important to me and my patient." Again this is what my colleagues are saying. "And I don't want the variability in the absorption of aspirin that can be seen in enteric-coated aspirin." And not only that there's something called shared decision-making. The patients too need to know that they're getting the best formulation of the medications that they're receiving. So the question is why not set up our patients for aspirin therapy success off the get-go by choosing a formulation that's both cardioprotective and designed to help protect the stomach? And in my own clinical practice â I can speak on my own utilization â I'm an early adopter of VAZALORE because it makes sense. Over the past six weeks alone I've already recommended VAZALORE â written VAZALORE to 300 new patients for VAZALORE 81 milligrams. These came through different settings: directly from the hospital, as I see patients who are having heart attacks or stroke from the ER, the emergency rooms where they present with acute coronary syndrome or unstable angina and from my own practice, where patients have issues with heart attacks, strokes and peripheral vascular disease or peripheral artery disease. I've looked at other medications these patients are taking as well and just internally interesting enough, about 30% of my patients are taking some type of GI-protective medication, whether that's an H2 blocker PPI, proton pump inhibitor or an OTC. And so I really believe that gut health issues are an important unmet need and I plan to monitor whether patients taking VAZALORE 81 milligrams can help reduce their utilization of these GI-protective medications. So patient response to-date. My own patients have been very favorable. Product has been well received. No adverse effects from the patients. But more importantly there's something called shared decision-making where I'm informing patients of their medications, we're reviewing their medications and the patients feel assured about an FDA-approved product in light of their aspirin being Vazalore, really no resistance or pushback using the product, especially, when it's explained by their doctor or their healthcare provider. So based on my own clinical experience, this additional real-world experience in my own practice and my care of patients, really has given me the confidence just in the last six weeks of prescribing Vazalore by patients and recommending Vazalore to my peers. Thank you so much and back to you Natasha.
Natasha Giordano: Thank you, Dr. Ali. We certainly value your insights and perspective as you are treating patients at risk each and every day. We're excited and encouraged by the consistency of your patientsâ feedback, our own patients survey results and from the feedback that you're getting from other physicians in your efforts to educate and inform them about aspirin -- and safety. A key priority of our second quarter was implementing a refined marketing plan to drive market awareness and acceptance of Vazalore across a broader audience of consumers and healthcare professionals. To do this, we used cost-efficient marketing tools including digital and virtual offerings. Let me give you some examples. First, in a recent healthcare professional email campaign, we expanded distribution to include advanced practice providers largely nurse practitioners and physician's assistants. With the addition of these specialties plus the cardiologists and the pharmacists on our original target list, we could reach and more efficiently cross -- Vazalore for both heart health and pain relief to more than 500,000 healthcare professionals. Email open rates across all target audience performed at more than three times the industry benchmarks on average indicating a keen interest in our new innovative aspiringâ¦ Second, on social media we've enhanced our presence with Vazalore -- advertising on Facebook and company-related news on Twitter and LinkedIn. Our Facebook communication targets heart health and pain relief -- audiences with product messaging that highlights consumers' experience with Vazalore. In that regard, we're excited to feature legendary professional baseball pitcher John Smoltz experiencing and using Vazalore 325 milligrams himself for fast effective pain relief. Third, in medical communications we're also driving our differentiated messaging through thought leader-led programs such as a series of educational webinars that were held in June led by interventional cardiologist and thought leader Dr. Michael Gibson, a consultant at Boston Clinical Research Institute. The program was titled, Secondary Prevention with Aspirin. Learn about the latest FDA-approved aspirin formulations. These virtual programs provided healthcare professionals and others a forum to learn about the differences in available aspirin formulations including Vazalore -- filled aspirin capsules and the importance of aspirin therapy in the treatment of secondary prevention. We've adjusted our tactics to strengthen our brand offering and value proposition for Vazalore to both consumers and healthcare -- and we remain as confident as ever in Vazalore's potential to transform the standard of care, the standard of aspirin therapy for secondary prevention of cardiovascular events and to reinvent aspirin for pain relief. For us, the patient is essential to everything we do and Vazalore is an important life-saving option in the treatment of secondary prevention of cardiovascular events. With that in mind to ensure the future success of the brand and be able to grow Vazalore to the next level, we believe it would require further capital investment to support a broader marketing effort. We've been evaluating options to bring in new sources of capital, including financing deals as well as business development activities. After initial discussions with several major companies over the past few months, external interest has broadened and we together -- decided to engage financial adviser Raymond James to commence a formal process to help us evaluate strategic alternatives to enhance stockholder value. We believe Vazalore would benefit from a larger organization with resources to drive a more robust commercial plan. This product is too important for the patients we serve not to be given the best chance to succeed.
-- :
Operator: Certainly.  Our first question will come from Jason Butler of JMP Securities. 
Jason Butler: Hi. Thanks for taking the question. First question for Dr. Ali. Can you maybe walk us through how you are helping your physician colleagues navigate through the price sensitivity question when it comes up given the broader economic background?
Asif Ali: Absolutely. So, I will point out and I didn't point out during my conversation, we are creating some strategies around some colleagues. In fact one, which I won't be able to mention the name of the institution â a major institution that's looking at what we call a meds-to-beds type of product. Answering your question, if you have a patient who comes in with a stroke or heart attack â I want to emphasize something, because I just find it so interesting when we have these conversations about pricing. The cost â so the typical patient that has a heart attack will leave the hospital on at least five medications, five new medications, the least expensive of which â of these five medications would be an aspirin or VAZALORE as we're changing prescription behavior. What's extremely important â and this even came from Dr. Gibson's own process of thinking through VAZALORE, is we want to set up patients for success after a heart catheterization. For example, if he puts in a stent the most important point of the follow-up on these patients is one to make sure that the stent was placed and is working. But for it to work we have to onboard certain medications and one of the most important is aspirin. So, it's paramount that, the least expensive of these medications, out of those five medications is aspirin. The most expensive could be $500 plus per month. So we're talking about pennies versus hundreds of dollars of medications that are on-boarded for secondary prevention after a patient has a heart attack or a stroke. So the conversation even in a major institution for meds to beds is, we want to protect the patient as much as possible have the best efficacy, best safety, best absorption that we can get and the least expensive of all of the medications that we're talking about is aspirin or VAZALORE in this case. 
Jason Butler: Great. Very helpful. And then for the company, I guess two questions. Number one, can you talk to us about what you would be looking for in a potential partner â the attributes that you think that would be valuable to help grow the brand? And then secondly, the effort to increase focus on the pain benefits of aspirin can you just talk to us a little bit more about how you're messaging that to physicians? Thank you.
Natasha Giordano: Yes. Sure, Jason, good morning. Thank you for your question. So I'll take the first â what would we be looking for in a partner? Listen, we're in a small industry. We're looking at companies that have the resources that have the expertise that have grown â over the years very, very successfully. And you could think of a few right off the bat. They could be consumer companies, they could be Rx companies, given the way that aspirin is used. Aspirin is a foundational therapy in the treatment of secondary prevention. It's also as a class 1A guideline, not only in cardiovascular disease, but also in peripheral artery disease, so there's a lot of usage for aspirin in that area. So we really are looking for a company and a partner that believes in the product certainly, but that has the knowhow the deep experience and then the resource to accelerate the brand growth. I think what we've done is established a very strong base. We can see in our data that, the base is growing. We're growing new users every month. That's important for us in establishing that strong base and foundation of patients and that would be valuable to a potential partner. Interestingly, about aspirin and pain, we have really reacted to the feedback from consumers not only online, but anecdotally, certainly through our physicians. Consumers are telling us that they take a VAZALORE one 325-milligram VAZALORE â and it acts very, very quickly whether you have food or not and it doesn't give them any stomach issues. Now those are anecdotal they're online reviews. And as we started getting more and more of them we thought, wow this product could reinvent the category -- the aspirin category for pain. And our retail partners will also find that to be very, very interesting. And as we started to explore, we came upon John Smoltz, who is using VAZALORE for his minor aches and pains. I just -- him yesterday and it's really working very, very well for him as he plays -- of golf these days. So, we think there's a lot of opportunity. We've included the pain focus in our digital program and our Facebook approach and strategy. We're looking to show the market and to other consumers -- testimonials from consumers, as well as Mr. Smoltz. So we have some really interesting plans to start to increase the usage of VAZALORE in pain.
Jason Butler: Okay. Great. Appreciate the color. Thanks for taking the question.
Natasha Giordano: Thanks, Jason.
Operator: And our next question will come from Leland Gershell of Oppenheimer. Your line is open, Leland. 
Leland Gershell: Yes, hi, good morning. Thanks for the update and for taking my question. I want to ask I mean given the more challenging environment these days for the retail consumer, again given inflation and just everything involving cost of living going up and the price differential of VAZALORE versus other aspirins. Just wondering, if you maybe, Natasha can you comment on the extent to which you may perceive the price premium as being a hurdle for the consumer and what sensitivity around that is such that you could possibly reduce the price and still maintain favorable economics for PLx such that you could bring in a greater scope of end-user buyers in this current environment? Thank you.
Natasha Giordano: Yes. Leland, you're right. This last few quarters now the inflationary and the economic issues are -- present. Consumer behaviors -- that people are thinking about how to spend their cash and where to spend their cash. You have food, you have gas and you have -- where should I put my dollar? And so that consumer is making that decision at the shelf and that's why all of our digital and media -- around consumers as well very strongly to differentiate why they should purchase VAZALORE. And so there certainly is some impact there. But we've tried some programs there also where we've done temporary price reductions. And I'm not sure that that's the answer either because we've actually brought the price back up after a few months. And I think what I -- do also is allow Rita to talk a little bit more and give some more color on -- the consumer behavior at the retailer shelf.
Rita O'Connor: Yes. Thanks, Natasha. So remember what Dr. Ali said. The interesting thing is, what did he say 30%, 35% of his patients are taking a PPI. Some of the branded PPIs are almost $0.80 a day themselves. So -- and keep in mind, most of those five medicines that Dr. Ali mentioned are -- they're paying their co-pay which is about $25 a month already. So ours is actually under that. So, as he said, we're still the cheapest medication that this person is on and it should save their life. So, it's certainly a priority for them, but if they're already on a PPI, hopefully we can save them some money.
Leland Gershell: Okay. Thank you. And with respect to the exploration of strategic alternatives do you have a -- kind of a goal in mind with respect to the structure that that may take in terms of would it be a partnership with the company, would you look to sort of an outright sale? And I'm wondering, if you could give us a flavor of the types of companies out there that have taken an interest in VAZALORE and the franchise and obviously without naming names, but the types of entities that may be most interested in the product. Thank you.
Natasha Giordano: Yes. Our primary goal is to increase the value for our stockholders, so as we navigate the discussions that we've had with some companies there are different opportunities. And so it will come down to management and our Board -- which is the most valuable for shareholders. And it comes in a variety of looks honestly. It could be licensing, it could be partnership, it could be investment and it could be asset sale or an M&A. We right now in the early stages of our discussions are open to discuss -- so that we can find where is the most premium value for our shareholders. And so, that's what guides us right now. We are encouraged as an interest and I think partnering with our financial adviser like Raymond James, who knows us very, very well, is the right thing to do, will help accelerate that process.
Leland Gershell: Okay, great. Thanks very much for taking my questions.
Natasha Giordano: Thank you, Leland.
Operator: And our next question will come from Elliot Wilbur of Raymond James. Your line is open, Elliot.
Elliot Wilbur: Thank you. Good morning. Wanted to direct a couple of questions initially to Rita, I guess, with just respect to some channel aspects. First, can you give us a sense of the amount of Vazalore inventory still in the retail trade? And then, with respect to all the retailers that participated in the initial launch and retailers that you've subsequently signed on to stock the product, how many of those are still carrying Vazalore and sort of what is the current shelf space allocation versus maybe what we saw at launch?
Rita O'Connor: Great. I'll take the second question first, so that -- kind of give you an idea about your first question. So I'm actually pleased to report that we have both doses still in all those 30,000 stores. Now they're re-looking at some of the trial SKUs. We had a 12-count trial SKU which we had said that, it would start to phase out once people would try it and then they would start to phase it out and move towards the 30 count, which is more like a subscription model. So -- but we are pleased to say that they're in all those stores. We added Publix and Harris Peter which is another about 1,500 stores there. So we're pleased to report they're still keeping it. They do have inventory out there. I won't quantify how much; it's a little difficult to say. However, based on their reorders you can kind of tell. We had done some displays in January, so they're still working that inventory down, but our goals are to really do some promotions to pull that through for the rest of the year. So we had said that, the second half of the year should be bigger. The difficult thing is now with the pressures on the retailers themselves. I mean, some of the big guys have announced their own pricing pressures. Their consumers are spending less and they also are deeply discounting their inventories. So I don't know if you've been at the shelf recently, but it's pretty amazing because they had ordered so much, because they couldn't get products. Now they're trying to give it away, because they have so much and don't want it to expire on their shelves. So we will experience those pressures, because of their own economic pressures, so it'll be a wait and see to see how much reorders. But they are reordering, especially in the stores in the southeast region. We're seeing those start to reorder. But I'm hoping that with this pull-through, they'll reorder later this year.
Elliot Wilbur: Okay. Thanks, Rita. And then, a question for Natasha. In the last call you had talked about some programs you were exploring with respect to some large healthcare systems and maybe an amped-up strategy in terms of placement of the product in the long-term care channel. Just any updates that you could provide there? And then, I want to kind of get back to an issue, I think we've talked about a couple of times over the last couple of years in terms of the best avenue for distribution of this product, because it's really a clinical sell and I guess, just kind of given where things currently stand, is the company reconsidering the possibility -- or considering the possibility, I guess -- of more of a direct clinical approach more of a managed care sell?
Natasha Giordano: Okay. Let me take your first question on studies. Yes, we have made some progress actually with several institutions that are very interested in doing some study. What's most important to the healthcare community, the healthcare professional community -- is adherence and tolerance. And even the FDA's focus is on how patients feel when they take their drugs, so that they stay on-drug. That is the most important thing, especially for the millions of people that are suffering and may have another heart attack or stroke. And we have several institutions that are ready to implement those programs, a real-world evidence study. The issue of course for us right now  is resources. So one of the analysts asked, what kind of partner are we looking for? We need to be able to partner and we can implement the study right away with top well-known practicing cardiologists and interventionalists that are advocating for Vazalore. So, yes, it's absolutely in the plan for us and we think that, that would be a successful program, as well as an LTC approach for sure. Yes, to your second question Elliot, yes, there absolutely is a clinical component here. But what we've seen in the last year with this macro environment -- the consumer is really key. So, the consumer comes to the store or orders online; we need to capture their heart and soul. And so that's why we did this patient survey. That was the basis of our survey. It was to gain acceptance by a number of consumers about 130 -- their -- endorsement of how they feel on VAZALORE. And the focus on it wasn't to pit VAZALORE against another product. It was to show the benefit of VAZALORE to that patient who is at risk for having a heart attack or stroke. And the results are really compelling. Their results are such that those patients will go back. Over 90% will go back and purchase VAZALORE because of how they feel on VAZALORE and how confident they are that they're protecting their heart health and having peace of mind. But most importantly is that they would purchase the product. So the consumer is extremely -- I think what we are -- not I think. What we're implementing is a broader stronger HCP communication through some of the very highly respected thought leaders like Dr. Ali, like Dr. Gibson. We have many more that are on this -- with us. And that's how we are going to continue to build the base of business --
Elliot Wilbur: Okay. I did have a follow-up question. I did have a question for Dr. Ali as well. Natasha you cut out there. I'm not sure if you concluded your response or just had technical difficulties, but I'm going to throw out my question for Dr. Ali here. Dr. Ali in your conversations with colleagues regarding VAZALORE, you get the sense that there's just a lack of awareness of the relative benefits of the product itself a lack of awareness about the limitations of enteric-coated aspirin or is there just a general sense that the data on VAZALORE as it currently stands isn't compelling enough to recommend usage of the product given the incremental costs associated with it?
Asif Ali: Okay. So, great question. Thank you for the question. So, I absolutely believe this is an education and awareness campaign. I will tell you and -- I'll just tell you even the very bright cardiology colleagues had no idea that aspirin had not gone through the vigors of the FDA. Just -- I don't think I've met one cardiologist -- because we just assume the data and the utilization of medications that we've had in the past have just kind of carried through. But what you found now is FDA is saying, look, there was a lot of consensus statements made in the past and now we want to make sure that every medication patients are taking have gone through certain processes. So, I think this is an education and awareness campaign. And if you ask the cardiologists that I'm talking to, I didn't know there was no FDA approval for aspirin. Well, there's a new FDA-approved aspirin that came out. It's called VAZALORE. Okay. This whole concept -- I want to make this very clear -- of PK/PD modeling -- we're talking about absorption and how fast it absorbs and how well medications absorb. This is not a new story for medication. This has already been played out in marketing campaigns in NOACs, novel oral anticoagulation therapies for things like atrial fibrillation pulmonary embolisms and DVTs. That conversation of absorption is not new. What is new is that my colleagues including myself -- I'm in the same arena here -- did not know about the variability and the erratic absorption -- again, the FDA's words -- about aspirin. And this is a cornerstone therapy. So, I will tell you physicians as well as patients alike -- it's called shared decision-making. We have to explain to patients what you're taking and what is the best formulation of the medications, and what your options are. And so it goes back to education awareness of the patient and the doctors to say, what is the best tool that we can use to save a life? And that's the bottom line.
Elliot Wilbur: Okay. Thank you for taking the question.
Janet Barth: Thank you, Elliot.
Operator: Thank you. I'm showing no further questions. I'd now like to turn the conference back to Janet Barth for closing remarks.
Janet Barth: Thank you, Letonia, and thank you all for participating in our call today. Please feel free to contact me with any additional follow-up questions. Have a great day.
Operator: And this concludes today's conference. Thank you for your participation. You may now disconnect.